Operator: Thank you, all parties for standing by. All lines have been placed on listen-only until the question-and-answer session of today's conference. The call is being recorded; if you do have any objection, please disconnect at this time. I will now turn the call over to Ruth Ann Wisener; and ma'am, you may begin.
Ruth Ann Wisener - Vice President, Investor Relations and Assistant Secretary: Good morning and thank you for joining us today for Tyson Foods first quarter conference call. With me today are; Dick Bond, our President and CEO, and Wade Miquelon, our Chief Financial Officer. Before we begin to discuss the operating performance for the quarter, I want to remind everyone that some of the things we talk about may include forward-looking statements. Those statements are based on our view of the world as we know it today, which means things, could change. So I would encourage you to look at today's press release for a discussion of the risks that can affect our business. I'll now turn the call over Dick Bond.
Richard L. Bond - President and Chief Executive Officer: Good morning and welcome to our first quarter call for fiscal 2008. As you saw in our press release earlier this morning, earnings for the quarter were $0.10. Sales were up 3.2% compared to first quarter last year. Our Pork segment delivered its second strongest quarter in company history, earning $76 million. The Prepared Food segment achieved normalized margins of nearly 5%. Our Chicken business struggled with more than $100 million in additional grain cost for the quarter. In November, we projected an additional $300 million in grain cost for the fiscal year. We now think this number will exceed $0.5 billion. The run-up in corn prices are a result of government mandates for corn-based ethanol, combined with the devalued dollar and hedge funds speculation. This situation is different than we've seen previously and has caused a new dynamic in our business. In the past, high grain prices were due to supplies and were short-term. The pressure now is led by demand for use in ethanol, which is not short-term. Corn-based ethanol and its effect on corn prices have caused a domino-effect for other input cost. Soya bean mayo, cooking oil and wheat-based ingredients like breading have all gone up as well. On top of that, fuel prices are way up, which impacts distribution, manufacturing cost, packaging and so on. Chicken prices haven't kept pace with other food staples. Eggs are up 38%, milk is up 30% and whole wheat bread is up 12%. As a percentage of input cost, grain is much higher for protein than it is for other products. To give you some perspective, grain is almost half the cost of a live chicken. We have no other choice but to raise prices substantially, we are raising prices because we can't absorb these costs. Despite concerns about the economy, people have to eat and they will continue to eat protein. They might shift their food dollars to buy more chicken and pork or eat at home more and go out less, because Tyson is in all three proteins and in both foodservice and consumer products channels, we think we are in a very good position. Before I turn the call over to Wade, I'd like to say a few words about our new Group Vice President of Consumer Products. Earlier this month, I asked Donnie Smith to head up that group because he is a great, experienced leader with a long history at Tyson Foods in a variety of roles. He has a very strong sales and marketing team to work with and together they will build on our momentum of creating and innovating new products and services to meet retailer and consumer needs. Now, Wade Miquelon, will talk to you about our results for the first quarter. Wade?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Thank you, Dick. Overall, I am very pleased with our results in Q1 08 as we achieved GAAP earnings of $0.10 per share despite a very challenging business environment. This compares to earnings of $0.16 per share in Q1 07 and $0.09 per share last quarter. Our year-over-year sales improved for the quarter by 3% or $200 million on better pricing. Volume was roughly flat when factoring out last year's sale of two chicken commodity plants and so, essentially pricing per unit was up 6%. We finished the quarter at a debt level of just over $2.7 billion, which puts our debt to capital ratio at 36.3%. This represents $255 million debt improvement and a 330 basis point debt to capital ratio reduction year-over-year. Capital expenditures for the quarter were $100 million, with $48 million of that invested in profit improvement products or projects. Two of the four segments ended the quarter within or above their normalized ranges. Pork performed extremely well at a 9% EBIT margin, due to lower input costs and continued strong exports. Our Prepared Food segment continues to perform well and we delivered a 5% operating margin, which is the center of our normalized range. Chicken operating earnings were positive despite the $101 million year-on-year increased grain cost. As projected, beef struggled with significant losses as industry overcapacity negatively impacted live cattle cost and led to excess trade inventory, which then adversely impacted the cut out pricing. Dick will discuss the segments in more detail in a few minutes. Moving forward, while its been our practice to issue annual earnings guidance, which we did in conjunction with the release of our fiscal 2007 earnings, we have temporarily withdrawn our guidance due to the magnitude of input market volatility, timing of anticipated price increases and continuing uncertainty in beef. We anticipate renewing our practice of issuing guidance as such time and clarity allows. Now, let me give you some perspective as to why we made this decision. For perspective, our daily corn and soybean meal joint limit move either up or down as has occurred several times over the past few weeks, is nearly a $100 million or plus or minus $0.17 earning swing when excluding hedge impacts. And this is actually not the full impact of grain volatility, given that other markets like wheat, flour, cooking oil and other feed ingredients are now in effect moving to some degree in tandem with corn and soy. As you saw in our release, chicken grain costs are predicted to be up over $0.5 billion year-on-year or almost an additional $300 million since we issued guidance. This will have a much bigger impact in Q2 versus Q1 due to the timing of a major rise in input costs as well as the related P&L inventory flow-through effect. We expect pricing and hedging to offset some of this cost increase in Q2, but the full cost recovery via price could take a few more quarters. For Q2, we believe Pork and Prepared segments will continue to perform well. Beef will continue to improve and the dramatic rise in input costs is likely to move chicken to a loss position in the short-term. In summary, we said on our last conference call that we believe that our first quarter would likely be our most challenging quarter of this fiscal. However, as the situation stands today, Q2 will likely be a more challenging quarter for us. It appears the input cost issue will remain with us for some time and we are looking to longer term pricing strategies to manage its volatility and spread this risk. Regardless, as Dick pointed out until there is a change in U.S. Energy policy and its current emphasis on subsidizing corn-based ethanol, consumers will ultimately see substantial additional food inflation, and in particular much higher protein pricing. In closing, I remain very confident about the prospects for Tyson Foods. Our core strategies are right and we are executing them with excellence. Over time, the markets will adjust and we will continue to turn challenges into opportunities and expand our lead as the world's number one provider of protein and protein solutions. And, now I'll pass it back to Dick for a review of the segments.
Richard L. Bond - President and Chief Executive Officer: Thanks Wade. I'm going to start with the Chicken segment. Taking out the two commodity plants we sold in 2007, chicken volume was essentially flat; operating income was $35 million and was affected by increased grain cost of more than $100 million, partially offset by pricing and operational efficiencies. We continue to be pleased with the move to chicken raise without antibiotics. It has allowed us to gain over 70 million incremental pounds of annualized volume with about a third of that coming from new accounts. You may recall, the USDA had said, it had mistakenly approved our raise without antibiotics label and asked us to change it. After considerable consumer research, we proposed and the USDA did approve a new label, stating our chicken is raised with antibiotics that impact antibiotic resistance in humans. The label change actually turned into a positive for us, because our research shows it more clearly communicates the benefits to the consumer. Turning to our Beef segment, we lost $85 million in the first quarter. Although we continue to make improvements on the sales compared to USDA published data, the cut out didn't keep pace with what we were paying for cow. We anticipate however that Beef segment's performance in the second quarter will outperform Q1. Cow supplies will be affected by higher gain prices; higher land values, urban sprawl and converting acreage to row crops will reduce land available for pastures. We thought the size of the herd would grow, but based on these market dynamics, cow's order has increased and the cattle herd has probably peaked. Given these circumstances for cattle supplies, slaughter capacity is out of balance by 10,000 to 14,000 head per day. This is why we think it is necessary or thought it was necessary to seize up slaughter operations in Emporia, Kansas. We chose the Emporia plant because its cattle production has moved from Eastern to Western Kansas over the past 20-30 years; Emporia is no longer centrally located to the regions major cow supplies. The facility was still be used as a cold storage and distribution warehouse in addition to further processing. The slaughter area would not be currently used, however, the equipment will be left intact. On the beef export front, USDA and USTR officials have made encouraging public statements about reestablishing trade with South Korea. Well we don't know when this will take place, we believe it could be within the first six months of the calendar year. Moving to the Pork segment; with live hog prices low, our Pork segment is doing about as well as ever had. Operating income nearly doubled from $39 million in Q1 of '07 to $76 million in Q1 of '08. Operating margins nearly doubled as well from 4.7% to 9.1%. Capacity utilization was up to 93% for the quarter and should be at or near 90% for our fiscal second quarter. I believe that hog supply should be adequate to maintain good operating margins in the coming months. The Prepared Food segment is doing very well and we are at capacity on a number of our product lines. Bacons, bacon hams and pepperoni sales and margins are strong, in part due to lower pork input costs. We are doing a much better job of internalizing our fresh pork for use in our Prepared Food business, specifically belles to bacons. This has been a coordinated effort that positively impacts our foodservice, consumer products and fresh meat businesses and allows us to compete effectively with companies that have been in the bake... that have had bacon in their portfolios for a long time. Regarding international exports, we continue to see increased global demand for chicken and pork as the standard of living improves in the developing world. Also, the weak dollar makes us more competitive and enables us to participate in additional markets. Tyson de Mexico also is affected by higher grain cost and we'll be working to pass along costs in those markets as well. We continue to work on our international deals in both Asia and Brazil, and should complete one this quarter. Our renewable diesel arrangement with ConocoPhillips started production, December 18th at 100 barrels a day, using fat from Amarillo, Texas facility. We are now up to approximately 300 barrels a day. In November, we selected a site in Louisiana for the Dynamics Fuels plant. The construction time line is on plan and on budget. Once complete, the plant will produce ultra clean renewable synthetic jet fuel made from fats provided by Tyson. Dynamic Fuels is now producing this first of its kind fuel for testing by the U.S. Department of Defense. In closing, I'd like to point out that challenging times often lead to great opportunities. For example, as inputs rise, customers often rely on us because sometimes value-added means taking cost out. Tyson has the resources to do this. The work we are doing in the Discovery Center, in addition to our customer service, mean customers can rely on us for innovation and dependable service in volatile times. To manage through this environment, we will stay committed to our strategy. I usually talk about the strategy in the long-term, but current conditions have made me sure its right in the short-term as well. We are doing everything we can to deal with the current market conditions and once again, we want to thank our team members for their work in these difficult times. And now, I will turn the call back over to Laurie for your questions. Question And Answer
Operator: [Operator Instructions]. Our first question is coming from Diane Geissler from Merrill Lynch. Your line is open.
Diane Geissler - Merrill Lynch: Hi, yes. Good morning.
Richard L. Bond - President and Chief Executive Officer: Good morning, Diane.
Diane Geissler - Merrill Lynch: I just want to sort of delve into the grain issue and cost recovery through pricing. This is something we see across the entire food space that you put in place pricing increases, then kind of grain runs beyond that and what are you doing to get ahead of the grains. I mean may be you could comment a little bit on, foodservice negotiations, how those went, are they still ongoing, what kind of price increases you are capturing in your negotiations? Any color on that would be appreciated.
Richard L. Bond - President and Chief Executive Officer: Well Diane, let me start out by saying, this is kind of unprecedented times, and unprecedented times require unprecedented activities. And in various segments of the business, we are really looking at it in different ways. You asked about foodservice, we are about 50% up the way through our foodservice contracts and our customers realize that we are experiencing this higher grain price, so I think they understand, while they don't necessarily like the fact that all this volatility in grain and higher grain costs are there. There is a better understanding this time, and I don't think in necessary we are the only ones out there in this space, professing increase costs that we can't absorb. We have been able to hedge some of these, but as we have seen the additional cost in grains, we are literally doing whatever we have to do to go back and talk to our customers about these additional costs, which were unanticipated.
Diane Geissler - Merrill Lynch: Okay but can you give us any more detail about what kind of pricing increases you are seeing even at retail or in foodservice?
Richard L. Bond - President and Chief Executive Officer: Well, I can tell you that on a distribution side of the business, we announced to our customers here about 10 days ago, roughly a 7% increase in our price list for all of our distribution customers. We are working on similar type things on the retail side as well.
Diane Geissler - Merrill Lynch: And then I guess moving over to beef and the... your announcement on Friday, obviously you are doing some things internally to sort of deal with the overcapacity situation. I mean what is your confidence level that the rest of the industry will follow? I mean what you've mentioned in your press release I think was slaughter over capacity between 10 and 14 head per day. Obviously your plant was slaughtering considerably less than that amount, which would suggest that some movements needs to be made from the rest of the industry, I mean what is your confidence level that the industry will go along and will start to see some better results in beef?
Richard L. Bond - President and Chief Executive Officer: Well Diane, I guess the only way I can answer that is, I don't know what our competition is going to do. I mean... all I think we can do is look at our own situation, the cattle moved away from Emporia, if you look at the rest of our plants, they are located where the strategic supplies for cattle are necessary for that. Emporia was a great plant, it had a great workforce, but it was the outlier in terms of where cattle were located. So to answer your original question, I don't know. I don't know what our competition is going to do, we just did what we felt was right for our company and what we needed to do at this particular time.
Diane Geissler - Merrill Lynch: Okay thank you, I'll pass it on.
Operator: Our next question comes from Eric Katzman with Deutsche Bank. Your line is open.
Eric R. Katzman - Deutsche Bank Securities: Hi, good morning everybody.
Richard L. Bond - President and Chief Executive Officer: Good morning, Eric.
Eric R. Katzman - Deutsche Bank Securities: I guess, first, just a detailed question. Wade, can you just kind of detail exactly where the... both on the consolidated and the segment results, where the gain was and also the fast charge?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Yes, I'll pull through here. I mean, you're going to see... basically you're going to see the gain in the other net, in terms of the investment sale.
Eric R. Katzman - Deutsche Bank Securities: Okay, all right. And then the charge?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Then in the charge you will see the fast charge is 6.
Eric R. Katzman - Deutsche Bank Securities: Okay, all right. And then, I guess one of a big picture question, Dick, you kind of talked in the last call and... about the volume that looked like you had an opportunity to generate in specifically in chicken, and where do you stand with that? It sounds like now, that's less of a concern in pricing, given what's happened with input costs, is the primary motivation?
Richard L. Bond - President and Chief Executive Officer: I'd say, Eric it's a combination of both. We continue to see good demand, and I believe that's driven, both on the consumer and on the foodservice side, but by what we're able to do through the Discovery Center. So, demand is still pretty good from our costumers, for our products. Pricing certainly is a very critical part of what we need to do and what we need to accomplish going forward, given the volatilities that we are experiencing from an input perspective. But pricing is very important, but demand from our customers remains very good as well, Eric.
Eric R. Katzman - Deutsche Bank Securities: And when you say, just kind of looking at doing things a little bit differentially unprecedented times, I mean, would seem to me that the problem is not so much at retail where you more or less kind of control your own pricing, but at foodservice, you kind of... we're in this position historically, where we raise prices in the December quarter or we negotiate with the trade or the foodservice accounts. I mean, are you thinking about trying to push through more of a kind of a cost plus model that maybe exist on a quarterly basis rather than just kind of a one-time a year thing. Is that kind of what you are thinking about?
Richard L. Bond - President and Chief Executive Officer: Well, given the volatility and the changes and the rapid changes, up and down in these markets, it only makes sense, I think for us and maybe ultimately for our customers as well to have something that is of a little bit shorter timeframe nature in terms of a fixed price. So, the idea of either cost plus or shortening the time of fixed prices is something that we have been aggressively talking to our customers about on the retail and on the foodservice side.
Eric R. Katzman - Deutsche Bank Securities: Okay. And then just last one and I'll pass it on. Again, in chicken, do you, I mean with the feed cost where it is, I mean, obviously you and Pilgrims have roughly 50% of the market. What is your sense as to the... are the marginal, the other 50% in the industry, the smaller players, do you think at this point they are profitable? Are you seeing any reduction in terms of their willingness to expand supply and are they kind of following on in terms of this negotiation and potential change in kind of how things are negotiated?
Richard L. Bond - President and Chief Executive Officer: I mean Eric, the only thing that I have seen publicly about changes in volumes was Cook announcing roughly of 3% reduction in their volume, I don't know quite frankly what the position of the rest of the industry is from a profitability standpoint, but when you have these unprecedented volatilities, it is kind of logical to try and shift some of that burden or at least if not shift the burden, reduce the timeframe for which that burden is being felt. May be at some point in time, these grains will go back down. So there is some logic behind driving this thing to a shorter timeframe.
Eric R. Katzman - Deutsche Bank Securities: Okay all right. Good luck, I'll pass it on.
Richard L. Bond - President and Chief Executive Officer: Thanks Eric.
Operator: Your next question comes from Vincent Andrews, Morgan Stanley, your line is open.
Vincent Andrews - Morgan Stanley: Thank you, good morning everybody.
Richard L. Bond - President and Chief Executive Officer: Good morning Vincent.
Vincent Andrews - Morgan Stanley: Just on a price increase perspective, how should we think about this relative to, I think it was the fourth quarter where you had an issue where from a private label chicken perspective, you lost some volume because you wanted to do it at a higher price when your competitors came in and it was willing to do at a lower price. I mean, how do you see those types... are you worried about that as you're trying to take pricing going forward?
Richard L. Bond - President and Chief Executive Officer: I mean I think that's always a risk. The only that is evident is everybody is going to be experiencing higher grain cost and everybody is going to be experiencing those higher inputs and the volatility associated with those inputs, but we can't worry or drive what we need to do based on quite frankly where our competition is doing, we can only control and do what we think is right for us and our customers.
Vincent Andrews - Morgan Stanley: And do you have that you're willing to share with us any sort of kind of base case idea of what you think... corn and soybean meal are going to trade for this year, is there something that you're... are there numbers or ranges of numbers that you are operating with as you think about taking pricing, can you share any of that with us?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: I think in general, we'd say while it's never right prior the forward curve is as good as an unbiased tool as we have, right. So, so again we continue to do projection based on that, look at our risk portfolio in the various new ounces of how we hedge it, don't hedge against that.
Vincent Andrews - Morgan Stanley: Okay. And do you have any... you are willing to share with us any percentages that you've hedged of your needs or no?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: No, we don't disclose that.
Vincent Andrews - Morgan Stanley: Okay, all right. I will pass it along, thank you very much.
Richard L. Bond - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Tim Ramey with D.A. Davidson & Co. Your line is open.
Timothy S. Ramey - D.A. Davidson & Co.: Dick, what did you tell the board?
Richard L. Bond - President and Chief Executive Officer: Tim, what are you referring to?
Timothy S. Ramey - D.A. Davidson & Co.: Well, they are your partners and they probably wanted to know how you're going to do in 2008. Where are your partners; you basically just said we don't know. Or did you tell the Board you don't know?
Richard L. Bond - President and Chief Executive Officer: No Tim, I told the Board the same thing that I am telling you, because of the things that are out there that we can't control, we quite frankly don't know whether inputs are going to go up another $300 million, another $500 million, another $50 million, down $20 million, its just impossible to predict based on these assumptions they keep moving around. And that's what I told the Board.
Timothy S. Ramey - D.A. Davidson & Co.: It's a little difficult when you got partners out there that need to buy the stock or need to figure out what to do with this stock to say, well, we just don't have any comment, but that's my two cents' worth. In beef, we had a real difficult 2006 and then in 2007 you made a lot of changes and improved that and I got the sense that we would do everything we could to not perpetuate losses of $10 ahead and I know situation was rough in the first quarter, but are you going to commit to your Board or us or somebody that we are not going to just operate this thing all year long at these big losses?
Richard L. Bond - President and Chief Executive Officer: Tim, I think, what we did on Friday would be a sizable step towards trying to make sure that we are doing what we believe is right for us, to do the best we can to get rid of those losses. Now, I think there are some other things that would help in that deal, if our government USDA and USTR can negotiate the return of Korea and ultimately the return in a meaningful way of Japan and reopen China and reopen Russia effectively. I think these are also things that are helpful to us, going forward. Beef around the world is going to be expensive. I mean, if you look at grains in other parts of the world, now they are just as expensive or more expensive as they are in the U.S. So, I think we are being diligent and we are being vigilant about what we are trying to do to manage our own business as effectively as we can.
Timothy S. Ramey - D.A. Davidson & Co.: How much is the volume from Emporia came out of Colorado?
Richard L. Bond - President and Chief Executive Officer: How much of the cattle?
Timothy S. Ramey - D.A. Davidson & Co.: Yes.
Richard L. Bond - President and Chief Executive Officer: Virtually none.
Timothy S. Ramey - D.A. Davidson & Co.: Okay. All right, thanks so much.
Richard L. Bond - President and Chief Executive Officer: Thanks Tim.
Operator: Our next question comes from Farha Aslam from Stephens Incorporated. You may ask your question.
Farha Aslam - Stephens, Inc.: Hi good morning.
Richard L. Bond - President and Chief Executive Officer: Good morning, Farha.
Farha Aslam - Stephens, Inc.: Could you just share with us some color on the cattle supply and availability and timing because the cattle placed on feed has been quite jagged. Could you think... tell us kind of what you expect in your fiscal second, third and fourth quarter in terms of cattle availability?
Richard L. Bond - President and Chief Executive Officer: Well, I think as I said earlier, I think the availability of cattle as a whole has probably peaked. The total herd has probably peaked. And do I mean it's totally peaked forever? Maybe not, but could very well be that it has peaked forever for all those reasons that I talked about before. I think, we got a little bit of pushback, meaning cattle not quite ready because of some harsh winter for a few weeks in the major cattle regions, I think cattle are starting to recover from that. We will see a fair amount of supply. When I say a fair amount of supply, a reasonable supply of cattle as we get towards the end of our second quarter and in the third quarter, but then I think the supply of fed cattle will begin to decline again as we did in the late third quarter and into fourth quarter.
Farha Aslam - Stephens, Inc.: That's helpful. And given that you've pulled guidance, it would be really helpful for us who have to put out numbers, for a little more color and detail on your businesses. In terms of this fiscal '07 till last year, if you had to quantify grain cost or feed cost as a cost of goods sold, what would that percentage be?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Well, I don't know if we give the percentage part, but let me tell you to think about it this way.
Farha Aslam - Stephens, Inc.: Okay.
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: For our prepared business and our pork business we are very much on track, while beef was very negative in the first quarter, we predicted it and at least at the rate of improvement we see now, that's pretty much on track with our forecast. So what's left from our original guidance is basically the fact that the input cost primarily against chicken are up significantly year-on-year, again over $0.5 billion of which $300 billion was in our original guidance number, plus other input costs, beyond grain are there as well and the uncertainty of how fast we get pricing. So I guess, I am saying is if you could kind of get into the math that way, by looking at the fact that three or four segments are basically on plan and the fourth one, chicken has the higher input cost against the uncertainty of how much pricing comes how fast and what the inputs might do through out the reminder of the year.
Farha Aslam - Stephens, Inc.: That's fair and then --
Richard L. Bond - President and Chief Executive Officer: I would add to that, even on the other two segments that are really grain-sensitive, meaning pork and beef, even though we generally speaking, don't participate in the cattle or the hog production in a big way, eventually, those high input costs are going to affect the numbers of cattle and the numbers of hogs that we're going to be... will be available for us to process in the longer term. So it does have an effect there. The effect is a little bit further out, then on the chicken segment.
Farha Aslam - Stephens, Inc.: Okay. And just a request for, when you guys may file your Q, it'd be really helpful, since you have pulled guidance, if you'd give us absolute volume numbers, that will be really helpful for us to try and put together our numbers. Would you guys consider doing that in the future, possibly?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: We'll take it in consideration.
Richard L. Bond - President and Chief Executive Officer: We will think about that.
Farha Aslam - Stephens, Inc.: Right. Thank you very much.
Richard L. Bond - President and Chief Executive Officer: Thanks Farha.
Operator: The next question comes from Kenneth Zaslow from BMO Capital Markets. Your line is open.
Kenneth B. Zaslow - BMO Capital Markets: Hey, good morning everyone.
Richard L. Bond - President and Chief Executive Officer: Good morning.
Kenneth B. Zaslow - BMO Capital Markets: If we kind of fast forward a little bit to 2009, as the pricing overcomes the feed cost and assuming that at one point feed cost levels out, the beef markets open up eventually, is there a reason not it to believe that things would not... the possibility of snapping back, in terms of both your chicken margins and your beef margins, would that be probable or not so probable? Is that something that we should think about? How do we think about that, beyond the way ... I mean it's clear '08 is going to sting, so after that how do we think of '09?
Richard L. Bond - President and Chief Executive Officer: I think you're exactly right. I think that optimism... that we would have optimism around that as we go into '09. I think for a number of reasons. One, on the beef side, I do believe that we will have a better situation as it relates to exports. The dollar is likely to still be relatively weak. We do see the demand for protein worldwide continuing to grow. At some point in time, the pricing will catch up to the feed and we should be in a very good position. If you think about what our strengths are, in terms of being able to innovate and be there, from a new product perspective; that should keep us on the forefront with our costumers of being there with them to create that activity going forward. So, I have a lot of optimism as we look forward. I think we've got a short-term situation here that we're going to have to get through, as we said. We are only temporarily not going to give you guidance because of this volatility. We believe that, that is not a long-term situation.
Kenneth B. Zaslow - BMO Capital Markets: Then the other two questions I have is; when you're stopping your production or reducing your production in Emporia, are you increasing your capacity utilization across the other business, other processing plants or you are cutting total production by what you are losing Emporia at? How do you think about that?
Richard L. Bond - President and Chief Executive Officer: Ken, I think, it's a combination of both. It's a combination of making sure that our other facilities run as efficiently and has full-to-footprint capacity as possible. That's number one. But do I believe that we are going to offset the total output of Emporia in the other plants? The answer to that is no.
Kenneth B. Zaslow - BMO Capital Markets: And in terms of... again a bigger picture. In terms of the protein supply versus demand into the summer, maybe it's a little far off, but into the summer, do you think we are going to get a balance? Do you think that the supply of general proteins will be higher or lower than the demand and will there be a balance?
Richard L. Bond - President and Chief Executive Officer: Yes that's a great question. If I knew the answer to that, I'd probably been a little more matter of fact about what Q2, Q3 and Q4 were going to look like. I think if you look at supplies by segment as an example, I think overall, the supply of beef will be less than what it was in 2007. I think our pork situation at least for Q2 and into early part of Q3 are going to be in a pretty good balance in terms of demand including export will be good. As we get into the summer time, we will probably have a few less hogs, which might keep that in reasonably good balance. The key probably is going to be around chicken, is will we have a supply-demand balance that is appropriate for the increased demand which we usually see in the summer for chicken and that's kind of the $64,000 question going forward and I don't have a good view of that at this point.
Kenneth B. Zaslow - BMO Capital Markets: Are you guys planning production?
Richard L. Bond - President and Chief Executive Officer: We are matching demand of what our customers believe and what we see from our customers, we are going to match our supply to that demand.
Kenneth B. Zaslow - BMO Capital Markets: Okay. Thank you very much.
Operator: Our next question comes from Christine McCracken from Cleveland Research. Your line is open.
Christine L. McCracken - Cleveland Research Company: Good morning
Richard L. Bond - President and Chief Executive Officer: Good morning.
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Good morning.
Christine L. McCracken - Cleveland Research Company: Just wanted to ask a few more question on these, when you guys chose to shut down Emporia, I guess, I was a little surprised. There were other plants that seemed a little bit more logical. I'm wondering, were the changes that you made recently in the grid, I guess, did they play a role in the choice of that plant specifically in terms of shutting it down?
Richard L. Bond - President and Chief Executive Officer: Christine, the answer to that is no. It was more a macro situation of just the fact that the cattle feeding industry over the last 30 years has excited Eastern Kansas. I mean, if you think about it rationally, that is the macro reason that that took place.
Christine L. McCracken - Cleveland Research Company: Okay. And in terms of, I guess, how you expect to capture those cattle... there is nothing contractually that would keep those cattle within the Tyson system. It could be that they would choose one or the other Kansas plants, technically to move into that closer?
Richard L. Bond - President and Chief Executive Officer: Are you talking about the cattle that we currently process in Emporia?
Christine L. McCracken - Cleveland Research Company: Correct.
Richard L. Bond - President and Chief Executive Officer: I mean they would become... I'm sure that we are still going to want and need some of those cattle in Western Kansas or in Texas or in Nebraska, but those cattle are all market available cattle anywhere. We really don't have any specific long-term agreements that say that all those cattle that were in Emporia were ours forever. That wasn't the case.
Christine L. McCracken - Cleveland Research Company: Okay. And then just in terms of your Canadian business, it's our understanding that that, every sub feeding businesses has been a little challenging, why not take similar, you know... actions up there to reduce your exposure to that difficult market, given the fact that you've already kind of taken the pain here. Is it just the matter of timing, or is there something structurally that you like about that business in the long run that keeps you there especially, given the fact that you have already passion capacity up in that region at least in Pasco?
Richard L. Bond - President and Chief Executive Officer: Well, I mean if you look at basically what's happening in Canada because again, because of the change in the exchange rates, because the high costs of feed and the even higher costs of barley, there are more feeder cattle moving south now, than fed cattle. And that's probably going to continue, I mean our goal in Canada is to keep the product that we process in Canada and be able to sell it effectively in Canada and not have the U.S. market be as bigger piece of that as what it is today. So I do believe that you are right, that there is going to be less cattle available in Canada going forward, but we think that we are competitively positioned to keep operating in Canada while we might have some difficult times in the short term, we still believe that what we are doing in Canada is viable for the long-term.
Christine L. McCracken - Cleveland Research Company: All right. And then just one last question, I guess I understand your desire to increase prices in chicken, but how can you go to your customers with that... I guess that intent when you guys, at least the industry say, on the surface looks like it continues to increase production?
Richard L. Bond - President and Chief Executive Officer: Well, because I think it is something that as we partner with our customers from a strategic perspective, this is something that we believe that, that our customers are going to understand and they are going to be able to deal with this appropriately because they understand that we can't absorb all these increases. And as I said, I mean, we are working with our customers, the demand that we have from our customers is good and we are going to continue to push in that direction.
Christine L. McCracken - Cleveland Research Company: All right, I will leave it there. Thanks.
Operator: Our next question comes from Ann Gurkin from Davenport & Co. Your line is open.
Ann H. Gurkin - Davenport & Co.: Good morning.
Richard L. Bond - President and Chief Executive Officer: Good morning Ann.
Ann H. Gurkin - Davenport & Co.: So my understanding that at the end of the year you were adding hatcheries or houses to raise more birds and then had a strategy of growing bigger birds for some of your plants. So are you changing those plants at this time, given what's happened to grain cost?
Richard L. Bond - President and Chief Executive Officer: No, the plan is that we put in place last fall, we are continuing with.
Ann H. Gurkin - Davenport & Co.: So you are continuing to grow bigger birds even with grain costs where they are?
Richard L. Bond - President and Chief Executive Officer: We are... again Answer, where we had looked to change bird weights in specific plants for specific reasons; we are in fact doing that. We are not, however, building any new hatcheries. That's not correct. That was not part of the plan last fall either, but in terms of shifting bird weight in various facilities, those plans that we laid out, we are still continuing to do.
Ann H. Gurkin - Davenport & Co.: Okay. And Dick, you made a statement last November also that Tyson has a right to raise production because you've good sales momentum. Are you still standing behind that statement or do you think supply needs to come down here given what's going on?
Richard L. Bond - President and Chief Executive Officer: I am still standing behind that statement.
Ann H. Gurkin - Davenport & Co.: Okay. And then thirdly, you were going on Agri Stats at the end of the year. Have you all gone on Agri Stats and is it... like where you trending or what information are you learning from being back on that system?
Richard L. Bond - President and Chief Executive Officer: We are on Agri Stats. We just recently have got our first series of data. We are in the process of evaluating where our strengths and weaknesses are wherever that can help, we will target the areas that we need improvement and continue to expound and expand on the ones that we see as positives.
Ann H. Gurkin - Davenport & Co.: Can you give us an example of where you are seeing opportunities?
Richard L. Bond - President and Chief Executive Officer: I think that would probably be not right for me to do at this time Ann, thank you.
Ann H. Gurkin - Davenport & Co.: Okay, great. Thank you.
Operator: Our next question comes from Jonathan Feeney from Wachovia. Your line is open.
Jonathan P. Feeney - Wachovia Securities: Good morning and thank you.
Richard L. Bond - President and Chief Executive Officer: Good morning Jonathan.
Jonathan P. Feeney - Wachovia Securities: Just one question. Maybe I am not thinking about this right, but on a... since the conversion ratio is big picture, are greater for beef and for pork, you would think in a, if the consumer really gets strapped down, you would think that chicken would prove to be a) little bit less sensitive to rising... pervasively high and rising corn prices and that b) a cash-strapped consumer would consider maybe chicken at the expense of beef and pork as a way to feed a family, say, money et cetera. Is this consistent with what... this kind of demand action, would that be consistent with what you've seen in prior recessions or is that just, is that just dreaming?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: No, I think your logic is sound, although sometimes pork also holds up very well. I mean, it depends on really, what part of beef we are talking in different cycles, sometimes the high end stronger than in another cycles. So, that probably remains to be seen for this particular economy moving forward.
Jonathan P. Feeney - Wachovia Securities: I mean, I guess that--
Richard L. Bond - President and Chief Executive Officer: Certainly, with your conversion rates of being what they are, chicken closer to one-to-one and pork being in the middle at three and a half or four-to-one and beef being up in that six or seven-to-one. That does bode well for chicken. The difference from our perspective is that we are fully integrated on the chicken side. So, we feel the full effects of that. We don't necessarily feel the full effects of the inputs on the cattle and on the hog side, but ultimately that will end up being there in terms of availability of supply.
Jonathan P. Feeney - Wachovia Securities: Right. I guess, just as a follow-up, if you went back to the early 90s, which I guess, in the last through consumer recession we had, I mean, can you offer any perspective on, if the need-demand change at all in aggregate or is there much shift between chicken, beef and pork to your recollection?
Richard L. Bond - President and Chief Executive Officer: Well, my recollection in the early 90s, where beef was in a similar situation to where it was today, there was a bit of overcapacity in the industry at that time, the herd was probably at one of its smaller and beef was relatively expensive compared to the other proteins. What you do have is you will have disappearance. It's just a question of price. All of these animals, whether they'd be cattle, hogs or chicken, will be consumed and it is in fact whatever that disappearance price is going to be. My recollection of the early 90s was that there was potentially some trade off, and I do believe in the early 90s the chicken was probably the biggest benefactor of the recession.
Jonathan P. Feeney - Wachovia Securities: Okay, thanks very much.
Richard L. Bond - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Pablo Zuanic from J.P. Morgan. Your line is open.
Pablo E. Zuanic - J.P. Morgan: Good morning everyone.
Richard L. Bond - President and Chief Executive Officer: Good morning Pablo.
Pablo E. Zuanic - J.P. Morgan: I think actually a question on hogs and then if I may on, on beef, but, we hear a lot from Smithfield, the CEO going to China and negotiating with COSCO. I would think that you guys also being one of the largest processors may also be in negotiations, kind of your comment about the opportunities there. How big do you think the blue year issue is? Does that present a sizeable opportunity? And related to that, you made a comment that by December you would expect the hog demand and supply to be balanced. Should I take from that that you agree with where Futures are? I think Futures forever said about $75 per hog, which means that prices will jump about 50% from where we are right now. So just give us some insight there, in terms of where you see the hog outlook?
Richard L. Bond - President and Chief Executive Officer: I think that we are as well talking to COSCO and to the opportunities to export to China; I mean it is a tremendous opportunity. I do believe that there was a significant lost to their numbers of hogs that were available in China. Therefore, I think that there is good potential export going forward. I think there is some things that will need to be worked out there from a technical perspective that might take some time yet. So I think that from a hog perspective and an export perspective, there is a great opportunity there. How long that takes to come to fruition? I'm not really sure. Typically, hog prices in the U.S. do rise in the summer time, because typically you have a lesser supply available. If you look at that forward curve, the forward curve looks a little steep to me at this point in terms of getting into that $73 to $74 range from where we are today. But certainly directionally, prices will be higher for hogs and for pork-related products as we get to the summer.
Pablo E. Zuanic - J.P. Morgan: Great, thanks for that. And then just on beef, just trying to understand the comment that you are making that beef will get better in the second quarter. I mean is that just because you're cutting capacity in pork... I mean cutting capacity and because we have this cow slaughter coming in towards the end of the quarter, what else is driving the improvements sequentially in beef?
Richard L. Bond - President and Chief Executive Officer: I think Pablo, the answer to that question is, the first quarter was so bad that directionally at least what we have seen thus far in the quarter would indicate that, that would be true. I'm not saying it's going to be good, but it will be considerably better than what it was in Q1.
Pablo E. Zuanic - J.P. Morgan: Last one, may I understand you went to March chicken production would demand, but what I don't understand is that a year ago, you guys exit by 3% and I think by then 5% of one point. It seems to me that conditions right now are actually worse than back then. So correct me if I'm wrong, and then if they are worse, why aren't you cutting production like you did a year ago?
Richard L. Bond - President and Chief Executive Officer: Well again, I'll go back and say that it is a matter of matching supply and demand. If, by chance, demand doesn't continue to be good, then we will alter that supply, if necessary. All I can tell you that as of this day, January 28th, our demand is still very good.
Pablo E. Zuanic - J.P. Morgan: All right. But just, when you reported flood volumes for the first quarter, your original guidance, I think was from 2% or 3% volume growth. So, in effect, I mean, I could say that you did cut production that was planned in the December quarter. Is that correct?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: I think, that was an annualized 2 to 3 percentage points. But I don't think we gave any clarity on Q1. It was more of a broad industry too, as well.
Pablo E. Zuanic - J.P. Morgan: Okay. And you are still sticking to the 2% to 3% for the full year?
Richard L. Bond - President and Chief Executive Officer: What we said in November was we thought the industry was going to be up 3 to 4 percentage points. I would guess possibly that that won't be that high now, given where we are.
Pablo E. Zuanic - J.P. Morgan: Right. Thank you.
Operator: Our next question comes from Robert Moskow from Credit Suisse. Your line is open.
Robert Moskow - Credit Suisse First Boston: Hi. Thank you.
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: Good morning
Robert Moskow - Credit Suisse First Boston: Good morning. I guess, my concern would be just mathematically when I look at how grain flows through your numbers during the quarter, I thought sequentially anyway from the prior quarter that your grain costs are actually down. You are realizing lower grain costs sequentially, and despite that your chicken margin is below 2%. So, I guess then, mathematically what I am trying to figure out is how much pricing are you going to have to take in chicken to realize the strong possibility that you are going to have $4 corn flowing through your numbers instead of what I think is probably closer to $3 right now and then, it could be even above $4. So, mathematically, I think that your pricing would have to be up something along the lines of 25% in chicken in order to fully offset $4 corn from here. Do you care to comment on that math, am I close?
Wade D. Miquelon - Executive Vice President and Chief Financial Officer: I guess, I would just say no. Q1 is up significantly from the year ago and also it's up versus prior quarter. You do get a broader step up effect in Q2 because of the timing of inventory, that's up again. The 25% number, I would say is overstated. Remember that 50% of grain is on the live animal, but when you have a lot of value-added and further processing that ratio diminishes over time. So, it's a significantly south of that. I don't know if we want give an exact number.
Richard L. Bond - President and Chief Executive Officer: But Rob, if you think about where... you are talking about $3, $4 and $5, I mean we haven't had $3 corn forever. I mean, corn has moved up from, if you will, two years ago in that 230-240 range. So, if you look at the forward curve today, virtually all futures months out front are over $5. So, I mean we have been working with $4 plus corn for a while and now we are working with $5 plus corn and that's just on CBAT numbers. It takes an additional $0.40 to $0.50 a bushel to get that to the feed mill. So, I am not sure what's your basis of $3 is referring to?
Robert Moskow - Credit Suisse First Boston: $3 would be the average spot price per corn during calendar and we can just talk about this offline, but what I assume within three month lag between spot and what you realized in your numbers. So, that's how I came to a sequential decline, but perhaps, you haven't talked about your hedging positions during this particular quarter, but may be that got snooped over during... as a result of some hedging, But I guess your point is also mine in a way which is that, are you saying Dick, that you have $4 corn in your numbers right now in this particular margin that you are reporting?
Richard L. Bond - President and Chief Executive Officer: In for Q1?
Robert Moskow - Credit Suisse First Boston: Yes. For this quarter, is that... are you averaging somewhat close to $4 corn right now?
Richard L. Bond - President and Chief Executive Officer: We are slightly below that $4 level.
Robert Moskow - Credit Suisse First Boston: Okay. So any kind of upside --
Richard L. Bond - President and Chief Executive Officer: But, if you look at what is flowing through the mill today and going in as an initial input, you are really talking in the 489-490 range right now and given the corn Futures where they are today that has another $0.40 to $0.60 depending upon what month do you want to look at going forward business the time we deliver to the mill.
Robert Moskow - Credit Suisse First Boston: Okay. And given the energy policy, you have any reason to believe that corn is overpriced this 490?
Richard L. Bond - President and Chief Executive Officer: I don't necessarily know if it is overprice, because the demand for corn continues and we go from 7.2 billion gallons of corn-based ethanol up to a mandate of something close to 15 by 2000 and wherever it is to over 13, no probably not, but it just seems that it's not a prudent use of corn as it has affected food and food inflation.
Robert Moskow - Credit Suisse First Boston: Okay. Well I agree with you there, but thank you very much.
Richard L. Bond - President and Chief Executive Officer: Thank you.
Operator: Thank you. This does conclude the question-and-answer session. I will now turn the call over to Dick Bond for closing comments.
Richard L. Bond - President and Chief Executive Officer: We appreciate you taking the time this morning. I mean it is a difficult, it is unprecedented, it is kind of unparallel times for us. You know I quite frankly I apologize for having to withdraw the guidance, but hopefully you understand that, you might not appreciate it, you might not like it, but hopefully you understand that and also that we do feel that we are still in very good position going forward. While 2008 is going to be difficult, I think out of all these lemons do come some lemonade and I do believe that lemonade with this hard work and diligence about improving our operations, improving our ability to innovate are going to help us in the long-term and we appreciate you joining us today and have a nice day.
Operator: Thank you and that does conclude today's conference. You may disconnect at this time.